Operator: Good morning. My name is Natalie and I'll be your conference operator today. At this time I would like to welcome everyone to the Integer Q2 2019 Earnings Call. [Operator Instructions] Tony Borowicz, Senior Vice President of Strategy Corporate Development and Investor Relations, you may begin your conference.
Tony Borowicz: Right. Great. Thank you, Natalie, and good morning, everyone, and thank you for joining us and welcome to Integer's Second Quarter 2019 Conference Call. This call is being webcast live and the replay along with the copy of the press release and earnings presentation will be available on the Investor Relations section of our corporate website.The results and data we discuss today reflect the consolidated results of Integer for the periods indicated. During our call we will discuss some non-GAAP measures. For a reconciliation of these non-GAAP measures please see the appendix of today's presentation and the notes of the financial statements in today's earnings release.As a reminder today's presentation includes forward-looking statements. Please refer to the company's SEC filings for a discussion of the risk factors that could cause our actual results to differ materially.Joining me on the call today to discuss our second quarter results are: Joe Dziedzic, President and Chief Executive Officer; and Jason Garland, Executive Vice President and Chief Financial Officer.On today's call Joe will provide his opening comments. Jason will review our financial and sales results for the quarter and then provide updated full year 2019 guidance. Joe will come back on the line for his closing remarks then we'll open it up to your questions.At this point, I'll turn the quarter and the call over to Joe for his comments.
Joe Dziedzic: Thank you Tony and good morning everyone. I am pleased to report that our second quarter sales results were right in line with our expectations, while our profit and earnings per share were slightly higher as we achieved strong operating leverage from both manufacturing productivity improvements and expense controls.In the second quarter on an organic basis we reported sales growth of 1% while adjusted EBITDA increased by 9% and adjusted EPS grew by 22%. As we have been routinely communicating with investors, it is important to view our sales results on a rolling 4-quarter basis.Over the last four quarters, our sales have increased 4% which is consistent with our view that we are growing at the rate of the markets we serve. We continue to execute on our strategy by investing in our growth teams to deepen our product line strategies to drive sustained above-market performance over the long term.From operations perspective, we continue to make significant progress on our manufacturing excellence imperative. We have completed the initial lean diagnosis at 13 of our 15 facilities with the two remaining facilities to be completed by the end of this month which is exactly on plan.Our focus on safety, quality, on-time delivery and efficiency is enabling us to drive the improved operating leverage that we are realizing. Jason will provide more perspective on these savings in his financial update. In addition to the improved financial performance, we've paid down $50 million of debt in the quarter reducing our debt leverage to 3.1 times adjusted EBITDA, down from 3.4 in the prior quarter.We remain committed to maintaining our debt leverage in the range of 2.5 times to 3.5 times EBITDA, while working to add capability and technology through bolt-on acquisitions.For the full year, we are raising our EBITDA guidance by $2 million to a range of $277 million to $285 million. We are also raising our earnings per share guidance by $0.10 to a range of $4.25 to $4.45. We are reiterating our sales growth guidance of 4% to 6% which as previously noted reflects the growth rates of the markets we serve.I'll now turn the call over to Jason to provide some commentary on our financial results for the quarter and our guidance outlook.
Jason Garland: Great. Thank you, Joe. Good morning, everyone, and thank you, again, for joining our call. I'll start with the review of our second quarter adjusted financial results. Second quarter sales were $314 million with organic growth of 1% against a record quarter in the prior year which made it a difficult comparable period. These results were in line with our expectations.We're continuing to drive strong leverage with adjusted EBITDA increasing 9% organically and 6% on a reported basis. We delivered $41 million of adjusted net income or $1.23 of adjusted earnings per diluted share up $0.17 or 16% on a year-over-year reported basis.To provide you some detail on our adjusted net income growth, please turn your attention to slide 8. Our reported second quarter adjusted net income increased $6 million year-over-year, up 17% on flat reported sales. This growth was generated by operational improvements in the form of productivity, driven by traction on our strategic imperatives and SG&A expense management both offsetting price and inflation headwinds.As we continue to invest in the strategy, we will be adding resources in the second half of the year to drive our manufacturing excellence and growth imperatives. Foreign exchange was unfavorable due to a currency benefit last year that did not repeat.We reduced our interest expense by $1 million through lower debt and interest rate management. We improved our adjusted effective tax rate to 19.7% in the second quarter of 2019, down from 21.6% in the second quarter of 2018. Year-to-date our adjusted effective tax rate is 18.7%, and we continue to expect the total year to remain within our guidance of 17.5% and 19.5%.Now let's turn to the review of our product line sales results. To remind everyone, slide 10 reflects trailing four-quarter organic sales. We believe this is a more meaningful indicator of our growth trend and how we are performing in the market versus an individual quarter, which may contain anomalies resulting from the timing of customer purchasing decisions.As previously discussed, the tough second quarter comparable resulted in a slower rate of growth this quarter. The trend on this chart is consistent with our full year outlook. So, for more context, let's turn to the specific discussions of each product line.On slide 11, organic sales growth in Cardio & Vascular slowed to 2% in the second quarter a strong growth in peripheral vascular and structural heart markets was offset by the expected impact of an electrophysiology maturing life cycle and a supplier quality related item.We expect the third quarter growth rate to be similar to the second quarter as the maturing electrophysiology program reaches its highest year-over-year decline and offsets much of the market growth we see across the rest of the product line.In the fourth quarter, we expect Cardio & Vascular growth to improve from the lower impact of the maturing electrophysiology program, the resolution of the supplier quality issue and the acceleration of other customer programs.On the next slide, sales in our cardiac and neuromodulation product lines were down 1% in the second quarter, primarily due to difficult prior year comparables and low growth in neuromodulation.During the second quarter, our neuromodulation orders were impacted by the slower market demand that our customers have been reporting. As a result, we have reduced our total year neuromodulation sales outlook from low double-digit to high single-digit growth.We're confident in this outlook given the terms of our finished device supply agreements. In the CRM market, we continue to forecast modest growth for the year.Slide 13 shows the last part of our medical segment. You'll recall in July 2018, Viant acquired our AS&O product line. The Advanced Surgical Orthopedics & Portable Medical product line shown today includes sales under supply agreements with Viant.Second quarter was down due to a decline in Advanced Surgical & Orthopedics products, partially offset by increasing demand in Portable Medical. We expect a strong second half from both AS&O product demand and new product launches in Portable Medical.And finally, slide 14 summarizes Electrochem, our non-medical segment. Electrochem sales grew a strong 11% in the second quarter as we expected from increased customer penetration and demand in the energy markets. We expect strong growth to continue in the second half from new product launches, increased military demand and new customer growth initiatives.Let's turn to our 2019 outlook. Our sales growth rate of 4% to 6% for the full year is unchanged. This outlook has factored the impact of the acceleration of the electrophysiology maturing program and supplier quality delays impacting Cardio & Vascular as well as our revised neuromodulation growth to high single-digits. Both have been absorbed in the outlook and we are holding the full year range.Taking into account the timing of the maturing electrophysiology program and the terms of the neuro supply agreements, we expect strong fourth quarter sales. Our first half operational performance gives us confidence to increase our adjusted EBITDA guidance to a range of $277 million to $285 million, which is a growth of 7% to 10%.In addition to the expected adjusted EBITDA improvement, the continued reduction in our interest expenses and tax planning efforts drive further improvement in our EPS outlook. Accordingly, we have increased our earnings per share by $0.10 from the previous guidance of $4.15 to $4.35 to a new range of $4.25 to $4.45, reflecting a growth of 12% to 17%.Turning to slide 17, our second quarter cash flow was strong and in line with our expectations. We delivered $56 million in cash flow from operations bringing the year-to-date total to $67 million. We also paid down $50 million in debt in the second quarter bringing the year-to-date debt payments to $65 million and reducing our leverage to 3.1 times adjusted EBITDA.We remain on track and our full year outlook is unchanged. We expect to generate $160 million to $170 million of cash flow from operations and $110 million to $120 million of free cash flow. Capital expenditures are expected to be in a range of $50 million to $55 million, and cash tax payments are expected to be between $30 million and $35 million.As we continue to execute our growth strategy and identify bolt-on acquisitions to add capability, we expect our debt leverage to remain in the range of 2.5 to 3.5 times EBITDA.I will now turn the call back to Joe for his final comments.
Joe Dziedzic: Thanks Jason. We formally launched our strategy with the Integer's senior leadership team in September of last year. We have been deepening and strengthening the product line strategies to enable us to win in the markets we serve through our growth team process. These strategies are guiding our resource allocation across all product lines to ensure we're developing the technologies that our customers need to be able to deliver the therapies patients deserve.The operational strategy is to achieve excellence in everything we do. We are executing all six of these imperatives. And just as we expected, the most immediate and tangible results are evident through the manufacturing excellence imperative. We are beginning to see those -- the positive impacts of the four work streams that comprise this imperative, which I reviewed last quarter on our earnings call.We've also made progress on the customer strategic imperatives. And again as we expected, it will take longer to see the tangible results from these efforts. The culture strategic imperatives are also actively being implemented across the company and I believe are required for us to sustainably outperform, which is our objective.We have made the necessary changes to our leadership team to strengthen the culture and add the leadership capabilities we need to execute our strategy. I have never been more confident in our strategy and team than today.Financially, we are delivering on the guidance we provided at the beginning of the year including increases in EBITDA this quarter and earnings per share after both the first and second quarter. It is clear that our manufacturing imperative strategy is already providing positive returns.We are delivering operating leverage as profit is growing nearly twice as fast as sales. We are reiterating our sales growth of 4% to 6%, which we established at the beginning of this year. It is our investment in our growth teams, which will enable us to outpace the market over the long-term.Lastly, we continue to generate strong cash flow, pay down debt and manage to the debt leverage range we communicated at the beginning of the year. Strategically, we have been investing in our team and strategy by adding the skills, capabilities and leadership required to lead each of the six imperatives.We are engaging our manufacturing associates across all 15 of our sites to execute our manufacturing excellence imperative. Between now and year-end, I will be visiting our sites to see firsthand the progress our teams are making and hear from them directly on how we can accelerate and expand the number of patients' lives we are enhancing.Our culture imperative has been building leadership capability across the organization through the talent selection process, analytics, performance evaluation and succession planning. Sometimes seemingly simple steps like providing interviewer training makes a tremendous impact.We also have a solid pipeline of acquisition opportunities to add and strengthen our capabilities in areas that support our product line strategies. This will enable us to serve our customers more effectively by solving more of their challenges to improve patients' lives. The Integer leadership team and I are confident we have the strategy and the team to deliver on our clear financial objectives to earn a valuation premium for our shareholders.Thank you. I will now turn the call back to the moderator to facilitate the Q&A.
Operator: [Operator Instructions] And our first question comes from the line of Jim Sidoti from Sidoti & Company. Your line is open.
Jim Sidoti: Good morning. Can you hear me?
Joe Dziedzic: Yes. Good morning, Jim.
Jim Sidoti: Great. Are there any one-time impacts in the quarter on either revenue or cost that you wanted to call out?
Joe Dziedzic: Nothing of materiality that would warrant note in our consolidated results.
Jim Sidoti: Okay. All right. Just looking at your top-line guidance and EPS guidance for the remainder of the year. Are you anticipating a pickup in expenses? Because it seems like you're well on track to hit that EPS number.
Jason Garland: Yeah, yeah, absolutely, Jim. And I mentioned that we will be investing further in resources to support primarily the manufacturing excellence imperative, but also some of our growth imperatives in the second half.And then the other thing I'll remind you too is we've talked a lot about the TSA income that we've received through our relationship with Viant, the acquirer of the AS&O business and that's been in the first half results as well. So that now ends as our TSA is completed and so that's another reason why the second half run rate on expenses will increase.
Jim Sidoti: So how will that impact the model? Will that be shown in the gross margin line or in the SG&A line?
Jason Garland: That's SG&A line.
Jim Sidoti: That's an SG&A expense? Okay.
Jason Garland: Yes.
Jim Sidoti: Okay. So we should expect the SG&A to tick up -- well that was an offset to expense. So that SG&A should tick up in the back half of the year?
Jason Garland: That's correct.
Joe Dziedzic: Yes. And Jim I would also add that we have some programs with customers that we're also going to be investing more in the second half. So we would expect the research and development and expense the RD&E line to also increase in the second half compared to the first half. We've been very successful, particularly in the last few quarters at customers paying for a lot of research.And in the second half of the year, we're investing in more programs that's our investment that will fuel the growth in the future. And so you'll see more RD&E in the second half, the SG&A that Jason mentioned. And also as you think about the second half another thing to consider is in the cardiovascular product line, we're anticipating third quarter being more similar to the second quarter given the two factors that Jason described, the maturing electrophysiology products.The third quarter is going to be the biggest decline on a year-over-year basis of the year. We actually saw favorability in the first quarter from that program and then that'll moderate in the fourth quarter. Additionally, the supplier quality issue we expect to resolve that this quarter, which will then show the fourth quarter increasing. And we've got a number of customer programs in cardiovascular that'll start to accelerate in the fourth quarter. So as you think about the quarter splits, we expect a really strong fourth quarter.The other factor is the neuro business. As we look at the timing of shipping finished devices, we see more in the fourth quarter than the third quarter, which I think is consistent with what we're seeing in the overall marketplace. So when you think about second half, we're expecting a really strong top line in the fourth quarter.
Jim Sidoti: Okay. And then with regards to uses of cash, do you still think that you can grow organically at the same rates? Or are you at a point where you're starting to look towards inorganic opportunities during the next couple of years?
Jason Garland: Yes. So -- no absolutely. And we've been very clear about the pipeline of acquisitions that we have in front of us and we're continuing to look for bolt-ons that'll add to our capability set to grow in our growth areas. So that is contemplated in our use of cash through the year and as I mentioned in the leverage guidance range that we've shared as well Jim.
Jim Sidoti: Okay. Well I hope you've learned from previous management that no reason to try and double the size of the company with one deal I think a small deal is pretty important too.
Jason Garland: That's true. It's not a -- we're not looking for the transfer for informational acquisition at this point. It's bolt-on and capability, yes.
Joe Dziedzic: Yes. I'll just add to that Jim. We are very targeted in what we're looking for. And I've used the phrase that we're knocking on doors that aren't for sale, because we're looking for technology that fills out capability for us to do more complete devices or subassemblies, more vertical integration in the higher- faster-growing end markets that our customers quite frankly are looking for more capability. We're listening to our customers and the needs they have where they -- we're watching where they're investing, partnering with them to understand their technology road map, so that we can then go make sure we have that capability to help them solve their biggest challenges.So the acquisitions we're looking for are capability driven, not revenue or size or scale driven. And so we're being very targeted. We're being very fiscally prudent to your point about that. But it's capability driven so that we can accelerate the penetration into the faster-growing end markets that's going to help us accelerate the revenue growth. So we hear the feedback thank you.
Jim Sidoti: Okay. All right. Thank you.
Joe Dziedzic: Thanks, Jim.
Operator: And our next question comes from the line of Matthew Mishan of KeyBanc. Your line is open.
Matthew Mishan: Thank you for taking the question. I just want to start with the second quarter. Is it possible for you guys to help quantify some of the moving pieces, especially in Cardio & Vascular, what the impact of the supply chain constraint was versus let's call it the maturity of the EP program and really a tough comp from last year?
Joe Dziedzic: Certainly, Matt. Thanks for the question. When you look at the C&V business and you think about that market, the market is growing 6% to 7%. And we've been growing the prior previous nine quarters, a high single-digit even low double-digit a couple of quarters. And so if you think about call it a high single-digit kind of growth rate, when we look at the primary drivers of the second quarter, which is in line with what we expected. The maturing EP program in the second quarter plus the supply constraint, when you consider those, that explains somewhere in the neighborhood of two-thirds of the variance between kind of a market or slightly above-market growth rate and the 2% that we reported for the quarter.When we look at third quarter, it's kind of the peak quarter of the decline, if you can use those two words. It's the maximum decline or the biggest decline on a year-over-year basis that we expect from that program happens in the third quarter. That is a little deeper than what we were anticipating when we started the year. But I mentioned earlier, we actually had a little bit of upside from that particular program in the first quarter. So for the year, it's kind of balancing out, but the third quarter is the peak of that year-over-year decline.What we also expect to resolve the quality issue, but we do expect third quarter to look more like second quarter in C&V. But then in the fourth quarter, as those -- as the maturing program decline abates still declining, but it's not to the same degree, the quality issue is resolved and we've got several customer programs that are starting to accelerate in the third quarter ramp, we see a bigger impact in the fourth quarter, we expect to see a strong fourth quarter – a stronger fourth quarter in the C&V business. We have – the second quarter and third quarter outlook it does not change our view at all about the cardiovascular markets. There is robust demand. We have a long list of product – projects and investments we're making in the cardiovascular space partnering with customers the long-term – near-term and long-term outlook remains very strong and robust. There is just a couple of discrete factors driving the second and third quarter.
Matthew Mishan: Okay. Fair enough. And this particular EP – I'm assuming like EP growth outside of this program for you is probably still robust. Is this a situation in which a customer – you've participated in the customers program it's reached end of life and then they're launching a new program and maybe you're not on it? Or is this a situation where maybe it's reaching into life winding down inventory and then you have a new platform or an updated launch starting in the fourth quarter and into next year?
Joe Dziedzic: It's the former, Matt. This particular program we're not on the next generation, we're actually working with this customer on the follow-on generation. This particular program has been end of lifting so to speak its maturity cycle for three years. For the last three years, the customer has been predicting this decline and it hasn't happened. This year, it's starting to happen. The adoption rate of different products varies. In this particular case, it took a long time for the adoption rate.This is a very complex complete device that we assemble for this customer. There -- looks like there will continue to be demand going forward, but it'll be much lower, because it does look like this product may fill a niche in the future. But we're not on the current generation that's in the market that's being introduced, but we're working on the follow-on generation of that product with this particular customer.This is something we've been monitoring and assessing for the last three years, quite frankly, ever since I've been in the seat. This has been something that's going end of life. We're actually seeing it this year. So we planned for this. We built this into our guidance. When you look at our guidance, we're still within our range of $1.265 billion and $1.280 billion of revenue. That's intact. Every year, there are moving parts.We have a portfolio of businesses, products, customers that we manage. Our job is to manage the total to deliver to you what we've committed and that's what we're doing. You see that the profitability was better in the second quarter slightly better than what we expected gave us confidence in raising profitability guidance. You see that the team is managing cash very effectively. Strong cash flow generation debt paydown. We're managing the business in the portfolio. There's moving parts in every business. This is just one of them and we're managing all of the moving parts.
Matthew Mishan: Okay. That's really helpful. And then as I think about the cadence through the year, I think you had a good – and this is still with revenue growth you had a good first quarter but a contract win – like a contract had a big part of some of the upside there. 2Q and 3Q a little bit lower. And then 4Q, there's a ramp. When I think about the fourth quarter, is it timing, easy comp? Or is it – or are we seeing kind of an acceleration in the fourth quarter of some of the commercial activities you've been talking about for the last couple of years starting to come through and that momentum could potentially build into 2020?
Joe Dziedzic: So for starters on the quarter splits of the year, the first quarter was helped about half of that growth was the contract that we signed. The second quarter – this year's second quarter was quite frankly exactly what we expected from a year-over-year basis, because last year the second quarter was $20 million higher than the first quarter and $10 million higher than the third and fourth. So the second quarter last year was a step function different than all of the other quarters. So this quarter, we expected this. When you think about the fourth quarter, there is some acceleration of the growth and that's the C&V business getting back on a stronger growth trajectory, after the two discrete items that are impacting us in the second and third quarter.And then part of the fourth quarter, there's neuro finished devices that – because of the structure of our agreements with our finished device customers at the beginning of the year, we established some minimum quantities that we're going to produce and that have to be purchased during the year, but based upon demand. And then we have flex capacity to flex up and down based on what the customer needs. So you're seeing some of that volume end up in the fourth quarter. That's consistent with the structure of our agreements. So there is going to be a bit of a higher fourth quarter neuro number driven by those factors.And then as you look into the next year, you'll see the market start to be more reflected in our neuro results based upon how the neuro market plays out in the second half of the year, which I think we're all watching closely.
Matthew Mishan: All right. And just moving to operating margin and free cash flow in the quarter, what – I guess it's a two-part question when – with both of those items. What really clicked to drive like an inflection and the kind of change in performance, sequentially from the first quarter, and really year-over-year as well?And does -- and I get the -- and I do understand the Q3 and Q4. You do have some incremental investments coming out of the TSA, but it seems like stuff really clicked in 2Q, for you guys.
Joe Dziedzic: We're beginning to feel the impact of the operational changes that we're making. So we talked about the manufacturing excellence, strategic imperative. We launched that in -- really we kicked it off with the manufacturing leaders, in July of last year. It was the first imperative we launched.And we launched it sooner than we launched the overall strategy, which we did that in September. But it's because we were ready. And because it was important that we move with pace and get that imperative going.So we launched that in July of last year. We executed our first lean diagnosis. This is the second LM second work stream of the four work streams, in the manufacturing excellence imperative.We had the first lean diagnosis in September. And we have now completed 13, lean diagnosis, which is the initial, the first lien diagnosis in each of the sites. This month August, we'll complete the last two sites. So we'll have all 15 sites have gone through their first round of the lean diagnosis. And Matt, humor me for a second let me just describe.The lean diagnosis is where -- it's a very structured process, where you go in to a site, you identify the biggest challenges in a particular part of that side, a particular work stream, value stream and you then build out what ends up being a 6-month plan to achieve excellence in that particular value stream based upon the biggest opportunities to improve.So you're targeting the biggest opportunities in the site. You're going in a very structured way building out a 6-month plan. And then the plant leadership team is getting the support and help from the enterprise, lean experts to help them very methodically in a rigorous disciplined manner go out and execute the improvement plan.That started in September of last year. We've now gone through 13 sites the last two are this month. We're starting to feel some of the benefit of that. You see that in on-time delivery, quality. You see it in operator utilization. Eventually, we'll see it in equipment utilization.And these are just good old-fashioned efficiencies, in running the business in a more effective manner. But it's a disciplined approach that we're committed to. We've added meaningful resources to Jen Bolt's leadership, to her team. Jen we moved in -- promoted into the manufacturing or the Senior Vice President of Global Operations. So she's leading this manufacturing excellence imperative.We've given her all the resources that she can absorb, to go out and help the sites. And help them execute this plan. So, we actually started to see some traction in that. There were some very specific make versus buys, that we in-sourced some products that we were previously outsourcing that we were able to complete the execution of the first half. And we're seeing that.And so I think, what you're seeing is you're seeing the results of executing the strategy that we're committed to. And that's part of why I'm going out to the sites. I'll get to all the sites in the second half of the year, to see firsthand each of those value streams. We've done the lean diagnosis in.I'm going to see it, touch it, feel it, talk to the team, and one of my big questions is what do they need to accelerate this. Because the results we're seeing is what we expected. And we want more of it. I'll turn it over to Jason to answer your question on cash flow.
Jason Garland: Yeah. Non-cash, it's really in line with what we expected. And if you remember from the first quarter, we start with sizable bonus payments, customer rebate payments those all bounce back. Add on the income improvement that Joe just talked to how that fell and then some working capital improvements frankly is low, and that's how we made this big jump from first quarter to second. And that's where we see the run rate sort of pacing for the rest of the year. So, right in line with what we expected.
Matthew Mishan: Okay. And just a follow-up on the neuromodulation, and I want to be sensitive especially around your customers. When you're talking about the minimum floor commitments for finished product in 4Q, is that something you're talking about in -- as a level of conservatism versus their forecast where at the very least this is what we're getting? Are they -- are those really coming into play this year for some of your customers?
Joe Dziedzic: We've had this scenario play out in previous years as well. The way -- maybe the best way to think about it is we work with our customer. They decide how much product. They think they're going to need for the year. They want to make sure, there's a minimum level of -- minimum quantity that's available to them throughout the year based upon their plans and how they see their business growth and then they want flex capacity on top of that.And so, we agree upon what we're going to build to that's a minimum floor and what we're going to build as that flex capacity. And so we make purchase commitments with our supply base and supply chain. And some of these components are longer lead time, and so we build up inventory throughout the year to fulfill.And if they ultimately end up deciding they don't need to prime their pump or to fulfill for their customers, then they get volume that might end up later in the year that reaches -- that's within that minimum threshold that they have to take. And so, there's some of that that's happening in the fourth quarter.
Matthew Mishan: Okay. Thank you very much, guys.
Joe Dziedzic: Yes, Matt.
Operator: [Operator Instructions] And there are no further questions at this time. I'll turn the call back over to Tony for closing remarks.
Tony Borowicz: Well, thank you Natalie. And thanks for joining us on today's call and for your continued interest in Integer. I look forward to our follow-up conversations. And we'll note that this conference call will be available along with the slides for a replay at our Integer website. Thank you very much.
Operator: And this concludes today's conference call. You may now disconnect. Have a great day.